Operator: Good morning. My name is Chrystal and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Glatfelter’s Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to hand the conference to John Jacunski. Please go ahead.
John Jacunski: Thank you, Chrystal. Good morning and welcome to Glatfelter’s 2016 third quarter earnings conference call. This is John Jacunski; I’m the company’s CFO and President of the Specialty Papers business unit. Before we begin our presentation, I have a few standard reminders. During our call this morning, we will use the term adjusted earnings, as well as other non-GAAP financial measures. A reconciliation of these financial measures to our GAAP-based results is included in today’s earnings release and in the investor slides. We will also make forward-looking statements today that are subject to risks and uncertainties. Our 2015 Form 10-K filed with the SEC and today’s release, both of which are available on our website, disclose factors that could cause our actual results to differ materially from these forward-looking statements. These forward-looking statements speak only as of today and we undertake no obligation to update them. And finally, we have made available a slide presentation to accompany our comments on this morning’s call. You may access the slides on our website or through this morning’s webcast provider. I will now turn the call over to Dante Parrini, Glatfelter’s Chairman and Chief Executive Officer.
Dante Parrini: Thank you, John. Good morning and thank you for joining us to discuss our 2016 third quarter results. As noted on Slide 3 of the presentation, we continue to operate in a slow growth environment with challenging conditions in several of our key markets and soft demand in the North America uncoated freesheet market. Revenue for the quarter was $405 million, down 3% on a constant currency basis. And we reported adjusted earnings per share of $0.54, up $0.07 over the prior year quarter supported by favorable tax rate and improved operations in all three businesses. For the Composite Fibers business, shipments increased slightly compared to last year, wall cover shipments were flat but lower than we anticipated as we entered the third quarter following a strong quarter two. However, year-to-date shipments are up 3%. While the economic situation in the primary end markets for these products has somewhat stabilized order patterns are a bit irregular. We do, however, expect near-term demand to remain at or slightly better than a year ago levels. Shipments of tea and coffee products were 3% below last year. Although we anticipate fourth quarter volumes will be above third quarter levels as these markets begin to return to more normal growth patterns as we've discussed in previous quarters. Composite Fibers operating profit for the third quarter was $14 million flat compared to prior year driven by success and continuous improvement initiatives that absorbed $1.5 million negative impact from foreign currency. It was another solid quarter for our Advanced Airlaid Materials business. Shipments were up 2% with operating profit slightly down as gains from volume and operations were more than offset by unfavorable foreign currency impacts. Customer demand for our hygiene and wipes products continues to be strong in 2016 with hygiene products up 2% and wipes up 11% year-to-date. For Specialty Paper shipments were down 3% compared to last year similar to declines in the broader uncoated freesheet market. On a year-to-date basis shipments were up seven tenths of a percent versus the broader market, which was down eight tenths of a percent. Overall, selling prices were down on a year-over-year basis and flat compared to second quarter levels. Soft market conditions and flat industry operating rates has limited the effectiveness of price increases announced earlier this year. However, strong operations and Specialty Papers coupled with favorable pricing on our raw materials and energy costs lifted operating profit by 7% to $18.7 million. This concludes my opening remarks. John will now provide a more in-depth review of our third quarter results then I will offer some closing comments before taking your questions. John?
John Jacunski: Thank you, Dante. For the third quarter, we reported net income of $19.6 million, or $0.44 per share. After excluding non-core business items, we’ve reported net income of $24 million, or $0.54 per share, compared to $0.47 in 2015. Slide 4 shows a bridge of adjusted earnings per share from the third quarter of last year to this year. Composite Fibers results were neutral to earnings despite a negative $0.03 impact from foreign currency. Advanced Airlaid Materials results decreased earnings per share by $0.01 including a negative $0.01 impact from foreign currency. Specialty Papers results increased earnings per share by $0.02. Higher corporate cost for the Fox River legal matter and higher incentive compensation expense reduced earnings per share by $0.02 and income taxes increased earnings per share by $0.07 as the third quarter benefited from investment tax credit to the release of reserves for close tax audits and changes and certain statutory tax rates. Slide 5 shows a summary of third quarter results for the Composite Fibers business. Total revenue for this business was $132 million, down 1.7% when compared to the prior year, but flat on a constant currency basis. Shipping volume was up 0.5%, while lower selling prices negatively impacted operating profit by $1.6 million. Following the declining pricing environment in 2015, selling prices, the last three quarters have remained generally stable. Strong growth in coffee products was offset by continued slow demand for tea products with overall food and beverage shipments down 3% compared to both the year ago quarter and year-to-date. As previously discussed a few key customers have been reducing inventory levels this year and others lost market share resulting in lower demand for our filter papers. We believe these markets are stabilizing and expect shipments will begin to return to more normal growth patterns in the fourth quarter. Shipments of wall cover products were flat this quarter and are up approximately 3% year-to-date. While the economic situation in Russia and Ukraine markets remains uncertain, we expect fourth quarter demand to be in line with the third quarter. And finally, we continue to see growth in our technical specialty and composite laminate segments where shipments up 13% and 12% respectively. Raw material and energy trends continue to follow the same pattern as we discussed in the first half of the year with prices lower compared to the year ago quarter, but tightness and the availability of abaca fiber continued and has led to substantial increases in prices for this fiber. These increases have been more than offset by lower prices for purchased pulps and energy. Operational performance was strong this quarter as we continue to focus on our continuous improvement programs. Overall operating profit was flat at $14 million and includes $1.5 million negative impact from foreign currency due to a less favorable impact from our hedging program in 2016. For the fourth quarter when compared to the third quarter, we expect shipping volumes to decline approximately 5% driven by slower seasonal demand for metalized products and a change in material used by our large customer away from metalized papers. We expect selling prices and raw material and energy prices all to be in line with the third quarter. In the fourth quarter, we'll be taking downtime on our machines to reduce elevated inventory levels. We will largely offset the impact of this downtime with cost control and cost reduction initiatives. Advanced Airlaid Materials results are summarized on Slide 6. This was another solid quarter for the Advanced Airlaid Materials segment with wipes volume up 25% compared to last year as well as volume growth in tabletop, home care, and food pad products. These gains were partially offset by lower volume at hygiene products, which were down 4% in the quarter, but up 2% year-to-date. Shipments for the business unit were up 2% in tons and 5.6% in square meters reflecting growth in wipes and other lower basis weight products. The lower selling prices are driven by customer contract provisions that recorded a pass through of raw material price changes. As a result net revenue was down 2% to $62 million. Operations for the Airlaid business continue to perform well with high levels of output to meet customer demand. As a result operating income for this business was $6.4 million down $400,000 including $700,000 impact from unfavorable currency in the comparison. For the fourth quarter, we expect shipping volumes to be slightly lower compared to the third quarter. In addition, we expect average selling prices and raw material and energy prices to be in line with the third quarter. Slide 7 provides a summary of the results for Specialty Papers. Shipments for Specialty Papers decreased 3% when compared to the third quarter of last year approximately the same rate of decline as the broader uncoated freesheet market. On a year-to-date basis, uncoated freesheet shipments are down 0.8% while our shipments are up 0.7%. Shipments during the quarter were down in nearly every market segment with the exception of our engineered products where volume was up 3% driven by increases in ink jet, playing card and some other customized products. Selling prices in the third quarter were below the year ago levels, resulting in a $2.5 million impact to operating profit. During the second quarter, we began implementing a previously announced $60 per ton price increase on a range of products. However, due to soft market demand industry operating rates have not improved and we do not see additional price improvement in the third quarter. Operating performance at our facilities continues to improve resulting in higher levels of pulp and paper production and lower raw material and energy prices more than offset selling price declines contributing a net $800,000 to operating profit. Overall, operating results improved 7% to $18.7 million when compared to the year ago quarter. For this business in the fourth quarter, we expect selling prices to decline slightly and shipping volumes to be flat compared to the third quarter with product mix being less favorable resulting in negative impact to operating profit of approximately $5 million. Raw material costs are expected to increase on wipe. We'll also be taking some downtime on our paper machines in the fourth quarter to reduce elevated inventory levels. The impact of this downtime is expected to be offset by lower maintenance spending. Also during the fourth quarter, we expect to permanently close a small paper machine at our Spring Grove facility that produces less than 10,000 tons annually or about 1% of our total production. Virtually all products made on this machine will be transferred to other machines at the facility. We will incur a one-time charge for this shutdown of approximately $600,000 on a pre-tax basis in the fourth quarter. Slide 8 shows corporate costs and other financial items. During the third quarter, corporate costs were $5.6 million compared to $4.6 million in 2015. The increase was driven by higher legal costs for the Fox River matter and higher incentive compensation. We expect corporate costs in the fourth quarter to be in line with the third quarter. During the quarter, we also completed a substantial amount of work on the environmental projects and Specialty Papers that require downtime as well as other one-time costs. The impact of these items was excluded from adjusted earnings. Slide 9 shows our free cash flow. During the third quarter on an adjusted free cash flow basis, we generated $4.2 million compared to $23.8 million in the third quarter of last year. In 2016, cash used for working capital totaled nearly $17 million versus a provision of nearly $9 million in 2015. In the third quarter of last year, reflected a successful initiative on payment terms with our vendors. In addition, we built inventory during the third quarter of this year as a result of market softness combined with improved production output from all three business units. As I mentioned earlier, we will be taking machine downtime in the fourth quarter to reduce inventory levels. Total capital expenditures for both the quarter and the year have increased due to the Airlaid capacity expansion project and Specialty Papers Boiler environmental compliance projects. We continue to expect total capital expenditures of $155 million to $170 million in 2016. Spending on remediation of the Fox River in the first three quarters of the year totaled $4.2 million. Our remediation work is complete for the 2016 season and we expect our total spending for the year to be approximately $5 million. Slide 10 provides estimates for capital expenditures and related costs. We are making significant progress with the environmental compliance projects and Specialty Papers to allow us to meet the compliance deadline in early 2017. The work at our Ohio facility is nearly complete. The work in Spring Grove is much larger in scope and more complex on the Ohio higher project and the cost of installation has increased the total project cost by approximately $10 million. The impact of this higher cost was partially offset by reduction in our normal CapEx. The AMBU capacity expansion project remains on target. The result of these changes is a $5 million increase to the bottom end of our total capital spending range for 2016 to $155 million dollars. The top-end range remains at $170 million. Also on Slide 10, we have made minor changes to the one-time P&L costs with the building and start-up of these major projects. And finally, we expect our depreciation and amortization to increase by approximately $8 million dollars to $76 million in 2017 primarily to reflect depreciation associated with the Specialty Papers environmental projects. So let me show some balance sheet and liquidity metrics. Our net debt at September 30, totaled $328 million, up $73 million from the end of 2015. The increase was driven by the $74 million spend year-to-date on our two major capital programs. We finished the quarter with $51 million of cash and $228 million available under our revolving credit facility. Our balance sheet remains in good shape with leverage on a net debt basis of two times. We believe this provides sufficient liquidity to meet our near-term investment needs and to continue to execute our growth strategy. This concludes my comments. I will turn the call back to Dante.
Dante Parrini: All right, thanks, John. The operating environment for the first three quarters of 2016 can be characterized as slow growth with strong competition for available market opportunities. Despite the continuation of these challenging conditions, our adjusted year-to-date earnings are up 19%. Looking at our three businesses together favorable prices for raw material and energy costs are slightly outpacing selling price declines. And higher shipping volumes coupled with better mill operations have improved earning significantly. For Composite Fibers business, we remain the global leader in markets like tea, single served coffee and wall cover with healthy long-term growth rates. We continue to work on building our positions in electrical products, dispersible wipes and other technical specialties. Our battery separator papers were up double digits year-to-date and we began shipping dispersible wipes products in Europe in October. The wall cover markets in Russia and Ukraine are more stable on a macro basis, but monthly order patterns are choppy making forecasting growth difficult. Prices for some of the key products in Composite Fibers declined in 2015 due to soft market conditions and increase capacity and competition, however in 2016 prices have been generally stable. We expect this level of market competition to continue for the fourth quarter and into 2017. As a result, we're finalizing plans to reduce our cost structure in Composite Fibers as we focus on continuing to improve our profitability in a slow growth economy. For Specialty Papers, we've outperformed the uncoated freesheet market for twelve consecutive years and we expect this trend to continue. With a broader market declining approximately 3% per year, business will remain competitive. In response, we will continue building on our reputation of delivering a great customer experience, offering new product and service innovations and driving cost and efficiency improvements through our continuous improvement programs. The Advanced Airlaid Materials business continues to deliver solid performance with earnings up 30% year-to-date. Growth opportunities in specialty wipes and hygiene products are promising. I continue to be pleased by the improvements I'm seeing in our Airlaid production metrics particularly in Canada as we work diligently to meet our customers’ growing demand and bridge the supply gap until our new capacity comes online. By way of update, the construction of our new Airlaid facility in Fort Smith, Arkansas is progressing as planned. As you will recall from previous discussions, this facility will add 22,000 tons of capacity to serve the growing demand for wipes and hygiene Airlaid products in North America. We expect the facility to be operational in the fourth quarter of 2017 with commercial shipments beginning in the first quarter of 2018. As we navigate through the slow growth environment, we will continue looking for ways to create more competitive cost structure, our remaining focus on growth opportunities that fit our long-term investment strategy. I will now open the call for your questions.
Operator: [Operator Instructions] And your first question comes from Mark Wilde with BMO.
Mark Wilde: Good morning, Dante. Good morning, John.
Dante Parrini: Good morning, Mark.
John Jacunski: Good morning, Mark.
Mark Wilde: I wondered if we could start first with just the guidance comments over in Specialty Papers. You talked about sort of $5 million from price mix. And I wondered if you could sort of break that out a little bit for us.
John Jacunski: Well, Mark, on the pricing side, we expect prices to be down slightly. We don't expect any significant move, but certainly enough to impact the operating profit from quarter-to-quarter. And as is fairly typical from a seasonality perspective, we expect our mix to be not quite as strong in Q4 as it is in Q3. And so if you go back and look at some of the trends even for last year, we saw a similar fact pattern. One of the differences between the movement from Q3 to Q4, this year versus last year, is that we had an uplift last year from much higher production levels and this year we expect to take down time. So when you combine the mix and pricing impacts with some downtime even with lower spending on maintenance, we expect profitability to decline in Q4 compared to Q3.
Mark Wilde: Okay. And then I think John, you also flagged some cost inflation in the fourth quarter and I wondered if you could just help us quantify that.
John Jacunski: Yeah, I mean, we use the word somewhat. I mean I think that the increases typically would be around wood in the fourth quarter as we built some inventory getting into the winter months. So we typically see a little bit of cost inflation there. And then chemicals and energy are trending up a little bit. So from a broad perspective, I would call it maybe about $1 million impact from Q3 to Q4.
Mark Wilde: All right, that’s really helpful. And John can you just update us on sort of the volume trends you're seeing kind of within that business because it seems like the stories around the book market are actually have been encouraging over the last year or two with the erosion in the book volume actually slowing. I haven't seen any figures recently on the carbonless market. So maybe you could just kind of help us with the different pieces within that market?
John Jacunski: Sure in the trade book side for sort of a hardbound best selling novels, we've seen very good demand this year. It's been up pretty significantly. So, that's helped us. In the carbonless side, the declines this year is similar to what our market expectations were and what we saw last year. We’re down on the order of about 10%. And it's again consistent with movement in the market. We have seen that in the broader uncoated freesheet market, we saw some slowing in demand in Q3. So year-over-year demand was down 2.7%, if you go back and look at the prior quarters, that's the worst performance since the first quarter of 2015. And so the typical strong period coming out of the summer months would be sort of August September and the industry shipments were just weak. And so, we saw the impact of that in our third quarter and we expect that's going to continue a little bit into Q4. And so we've guided to sort of flattish shipments for Q4.
Mark Wilde: Okay. And then I wondered just turning over to Composite Fibers. You were down 3% in food and beverage. Can you give us some sense of where you think kind of the trend growth rates are in that business going forward? I don't know their single serve coffee has really slowed down? What you're seeing in terms of the tea bag market as well?
Dante Parrini: Right, so, we were down a few percentage points in Q3. The impact was really more related to our tea bag than our single serve coffee. Single serve coffee was actually up double digits in Q3 versus Q3 twenty fifteen. And as you might recall from the conversation we had last quarter, the movement of destocking with our tea and coffee customers, we didn't see as much in Q2 as we thought some of it was going to slide to Q3 and the guidance that we gave three months ago was by the time we get to Q4, we're going to resume more normalized industry growth levels which in aggregate is going to be in that 4 percentage – 3% to 4% range. So the weakness in Q3 was really driven more by tea than coffee and we expect to be at more normalized levels of demand in growth in Q4 as we roll into 2017.
Mark Wilde: Okay. So there's no kind of share loss or anything that you've taken there, Dante?
Dante Parrini: Yes, I would say, there is no structural changes in our markets, occasionally. You may encounter where market shares is traded from customer A to customer B to customer C and we have different share of wallet with different customers, but we have close to 60% global market share. So we're fairly represented across the board. And sometimes you see a little bit more period to period volatility, but in the longer-term and even in the intermediate term, we think the trends are favorable and we like our positioning in those markets.
Mark Wilde: Okay, and you also in that business, you mentioned that you lost or you had a customer moving away from metalized paper.
Dante Parrini: Right.
Mark Wilde: And I wondered if you could talk about that and how that impacts that segment of Composite Fibers?
Dante Parrini: Sure. Yes, I would say the biggest impact is going to be on volume and that have really a negligible impact on our profitability and I'll get into that in a second, but we had a customer that had been using a metalized product as an inner liner packaging material for quite some time and the customers moved to a different paper based substrate, a lower tech option. And so this particular piece of business represented about 10% of glass filters total metalized volume this year. Now, if you may recall the metalized business is a converting business and the margins for metal eyes are the lowest of CFPU. So we expect to be able to offset the impact to the lower volumes through cost reduction initiatives.
Mark Wilde: Okay, that's helpful. I'll turn it over and I'll get back in the queue. Thanks very much.
Dante Parrini: Sure.
John Jacunski: Thank you.
Operator: Your next question comes from the line of James Armstrong with Vertical Research.
James Armstrong: Good morning. And thanks for taking my question.
Dante Parrini: Good morning James.
James Armstrong: The first question is on the CapEx range is still pretty wide. Could you tell the difference between the low end and a high end of the range? And maybe give us a little guidance on what to expect going into 2017?
John Jacunski: Sure. So the range is really driven by some of the large projects we have going on between the Specialty Papers boiler compliance investments as well as the Airlaid capacity expansion and just the timing of payment. So the estimates that we have provided sort of get at what we expect the total expenditures to be, but the timing between year end and Q1 could move a little bit. And that’s the reason for the broader range. So our normal CapEx for next year we expect to be to $70 million to $80 million, which is pretty standard for us. And then when you add in the remaining spending on the boiler environmental compliance project, which will be minimal, because we’ll be finishing those projects in the early 2017. We’ll have a little bit more spending on the AMBU capacity expansion, we estimate that $35 million to $40 million. So for the full-year of 2017, we expect the range to be $107 million to $132 million. And again that’s a little bit wide because of just the timing of payments on these major programs between 2017 and 2018.
James Armstrong: That helps a lot.
John Jacunski: 2016 to 2017.
James Armstrong: Yes. And then the on the maintenance in 2017 in Specialty Paper, is that still scheduled for the second quarter? And could you give us an early read of the impact of that maintenance will have?
Dante Parrini: Sure. It is still scheduled for the second quarter, we take our annual maintenance outages for both of our facilities in that quarter. And we would expect that it’s largely going to be in line with what we had in 2016, which was about $26 million.
James Armstrong: Okay, that helps. And then lastly could you talk about the environmental compliance line items that you had? Should those continue through the first quarter or maybe the second quarter of next year depending on the time and then fall off? Or could you give us some guidance on how those costs will flow through?
John Jacunski: Sure. And if you have access to our slide show on Page 10, there’s some details on this. So we’ll have a little bit in Q4 and then it will continue a little bit in Q1. So our total after tax cost estimate for this is $9 million. And we incurred already after tax on the order of, I would say, $4 million to $5 million there I don’t quite have a number from earlier in the year. So we will still have a little bit in Q4. And I can give you some more details on that off line. But next year we expect $3 million aftertax.
James Armstrong: Perfect. Thank you very much.
John Jacunski: Sure.
Operator: Your next question comes from Dan Jacome with Sidoti.
Dan Jacome: How are you?
Dante Parrini: Good morning Dan.
Dan Jacome: Hey, thanks a lot for your time. Couple of questions, on the Spring Grove, the 10,000 tons of paper you’re transferring, did that already happen or is that all going to happen in the fourth quarter?
Dante Parrini: That will happen largely in the fourth quarter.
Dan Jacome: Okay. And then on Fox River, I think you said $5 million in remediation have you called out what you expect for next year, or is it similar to this year?
Dante Parrini: The remediation plan has not been put together, but we would expect it to be in a similar range for us, yes.
Dan Jacome: Okay, got it. And then last one, it looks like you guys are obviously aggressively hiring for the Fort Smith project which is good. Just kind of wondering if, how that’s tracking if it’s meeting internal plans and where you guys stand on that?
Dante Parrini: Yes, so my comments about the Fort Smith project, in its entirety it’s on plan, on budget. And when we’re all done we’ll have around 83 employees there. So the human capital elements of planning for the start up are not in consequential. We’ve got site leader in place, who’s a legacy Glatfelter AMBU operations leader. So somebody who knows Glatfelter, knows the technology has started equipment before. And we’ve begun to put the leadership team in place in Fort Smith. We’ve been very pleased with the labor market down there and the support we’ve received from the community in general. So that’s a part of the project that gets a lot of close attention and scrutiny as you might imagine.
Dan Jacome: Right.
Dante Parrini: But happy to say right now that all elements of the plan are tracking according to the schedule that we’ve laid out previously.
Dan Jacome: Got it. Okay, thank you.
Dante Parrini: Yes.
Operator: [Operator Instructions] Your next question is a follow-up question from Mark Wilde with BMO.
Mark Wilde: Yes, first a couple of just modeling questions John. What kind of effective tax rate should we be using for the fourth quarter?
John Jacunski: About 24%.
Mark Wilde: Okay, and is that a good number for next year do you think?
John Jacunski: Yes I do.
Mark Wilde: Okay, all right. Second question, the financial impact of that 5% drop in fourth quarter volume in composite fibers.
John Jacunski: Well I think as Dante commented that will be minimal. That's the metalized product, and we expect we will be able to take some cost reduction initiatives to help to offset that. So we expect that will be minimal.
Mark Wilde: Okay. And then just from a little broader perspective, Dante it seems like, in about the half-dozen years that you've owned Airlaid, the mix of business has shifted. Can you talk a little bit about that shift and mix, seems like you’ve moved away from hygiene, and core materials, more towards wipes. I wondered if you could just update us on that process?
Dante Parrini: Yes I’d be happy to. I may choose to re-characterize the way you’ve presented it. I would say that our mix had us expanded which is a positive thing and has been part of our strategy because we’re growing and we’re serving markets that are growing 5% to 6%, in our CAGR on volume growth since buying the business is about 100 bps ahead of what the market growth has been. So we’re not moving away from hygiene in our core legacy customers. We are expanding capabilities and adding capacity to make the pie bigger. And so what you’re seeing is that a lot of good work on technical and commercial level that’s enabled us to establish a foothold in the broader specialty wipes and some of the lower bases wipe product categories that’s helping to diversify the portfolio kind of lower to beta for this business unit which is our smallest one and was the most concentrated and be able to satisfy our Tier 1 global fem-hy customers, adult incontinence customers. And at the same time continue to grow and diversify, which I think is a positive story for all of our customers, both current and potential, because Glatfelter is asserting itself as the largest leading producer of specialty Airlaid materials worldwide. And as we build a bigger footprint with broader capabilities and stronger innovation capabilities, I think that’s going to really set us apart from the rest.
Mark Wilde: Yes, is there a margin differential Dante between sort of what you are going to achieve and sort of core materials versus what you can pick up in wipes?
Dante Parrini: No, we really don’t comment on margin profile by segment but you have to think about the transition that we are creating by serving all of our customers out of Gatineau and Falkenhagen until we have Fort Smith stood. And so once Fort Smith is stood up we expect a lift in the overall margin profile of AMBU and that Fort Smith will be a strong contributor to Glatfelter’s overall profitability.
Mark Wilde: Okay. And we get some questions sometimes about sort of differences between what you do and say guys that make wipes and nonwovens from like polypropylene and things like that. Can you just help us understand sort of technically what you’re making and how that is different from say some of the other uses synthetic material?
Dante Parrini: Sure, so there are a number of different non-woven technologies that can be used to produce wiping type materials. And I'd say your question is if there's a spun-laced or a spun laid or spun melt kind of material versus an Airlaid, and it has to do with the feedstock. And as you said its polypropylene, or polyethylene, or some mixture of petroleum based raw materials versus our raw material, which starts with fluff pulp and then adds other materials. So there are different performance features in terms of softness, and density and things of that nature and there are different preferences by consumers and our customers in various regions of the world. So we think it’s a broad market and that there’s an application for all of the different technologies. And we’re seeing a lot of demand for the Airlaid technology in North America, as it pertains to wipes, which is why we were motivated to build the facility in Fort Smith.
Mark Wilde: Okay, all right. That’s helpful. I’ll turn it over. Good luck in the fourth quarter.
Dante Parrini: Thank you.
Operator: For this time I’m showing there are no further questions. I’d like to hand the conference back over to Dante.
Dante Parrini: All right, thanks Chrystal. Thanks to everyone for joining our call today and we look forward to speaking with you next quarter. Enjoy the rest of your day.